Sergio Gamez: Good morning, everyone. Thanks for attending to this Santander First Q 2021 Earnings Call. As always, we have our group CEO, José Antonio Alvarez; and the Group CFO; José García Cantera, who will address the presentation. The slide we published early today, around 7:00 Madrid time. Before jumping to the questions, obviously the CEO will address the highlights for the first quarter and the group performance then the CFO, in detail, the different business areas review before handing over back to José Antonio for the key takeaways and then the Q&A. So with no further delay, José Antonio, please.
Jose Antonio Alvarez: Good morning to everyone. Thank you for making the time to attend to this conference call. So I should say that we have had a good performance in the first quarter. We have delivered growth in the quarter. Net operating income, the preprovision profit increased 15% on the back of revenues growing 8% and costs being flat on constant euros -- in constant euros. This was driven by greater volumes, repricing deposits and strong cost control. In this environment naturally, in the middle of the pandemia, digital adoption, accelerating and now more than 50% of our sales were made through digital channels compared with the 41% in Q1 2020.  Compared with the first quarter of 2020, revenue was higher, efficiency improved a lot, mainly driven by Europe and the cost of credit also improved notably to 108 basis points. Loan loss reserves stood at €24 billion, while nonperforming loan coverage of 74%. We have barely used the provisions overlay that we made last year. As a result, underlying attributable profit reached €2.1 billion and underlying return on tangible equity stood at 13%. In addition, we recorded an expected restructuring charge for the whole year, for the whole 2021, €530 million net of taxes, resulting in an attributable profit of €1.6 billion. The core equity Tier 1 ratios was 12.3% with an organic generation in the quarter stronger -- a strong organic acceleration on the quarter of 28 basis points, including 15 basis points that we accrue for -- to remunerate the shareholders, equivalent to 40% of Q1 '21 underlying profit.  The bank is accruing through the year or its intention to accrue through the year the proportional amount to -- of 40% to remunerate shareholders once the supervisors allow to do so. The tangible net asset value per share grew 2% quarter-on-quarter. And while it's true that we still live in an environment with significant uncertainties going forward, particular those related with the vaccination process, ongoing economy is going to go back to normal. On top of this, as you already know, we announced our intention to make a cash offer to repurchase our outstanding shares in Santander México, around 8% of the stake in the company. This transaction is expected to be completed in the second or third quarter of this year.  So if we look at the quarter, I should say that we've been living in an environment in which we have had still expansionary fiscal and monetary policies with very low rates, out of which we'd say that we start to see some changes in the quarter. Brazil in our footprint already raised rates in the first Q. But in general, we still have very good -- very low rates across the board.  In relation with the -- on the social front, lockdowns and restrictive measures with different intensity in different countries and different time, but this has affected significantly, particularly household and individuals and consumer activity in the countries in which we operate. On the other hand, state guarantee programs had a negative impact on the revenue outlook, even with respect to benefit the cost of credit. So we have different speeds in the vaccination that, well, is producing different outcomes among major economies. We are seeing already a significant rebound in the activity in the U.S. Some -- U.K. has had significant volume levels. And in the EU, we are starting to see some rebound starting back in March and accelerating a bit in Brazil -- sorry, in April.  Going to the group performance. I should say, starting with income statement, share rates and you have 2 columns there in the presentation, had a strong negative impact year-on-year, 12 percentage points in revenue and 8 percentage points in costs. Excluding them, revenue grew driven by all the P&L lines. We continue to deliver an excellent cost performance in all the regions, and we are doing especially well in Europe. As a result, net operating income, as I mentioned before, grew 15% year-on-year. In addition, lower loan loss provisions compared with previous quarters and lower cost of credit, which I will describe later in more detail. All in all, the first quarter underlying attributable profit reached, what I already mentioned, €2.1 billion.  Finally, we recorded €530 million expected restructuring charges for the year as a whole, mainly in U.K., around €300 million; Portugal, around €160 million; and Corporate Centre and others, around the remaining €70 million. Following this, Q1 attributable profit stood at €1.6 billion. Overall, all income statement lines performed well, supported, as can be seen in the slide, by our diversification. However, geographies showed virtually the same weight, I mean, the regions and recorded a strong profit increase. Of note probably was the U.S. with net profit of €660 million in the quarter. Digital Consumer Bank, which contributes to 11% of the group's underlying profit, also increased its profit significantly. There is also the case for our global business as CIB had an excellent quarter, with a result above €700 million profit.  If we look at the trends in the P&L, we see revenues going up 3% quarter-on-quarter due to the strong performance in CIB on the back of our strong activity with our corporate customers and the continued recovery in net fee income, 4%. That came mainly from CIB and other activities because, as I said before, the activity with household was somehow subdued in the quarter due to the lockdowns. Costs were down 3%, mainly driven by falls in North and South America, as the fourth quarter usually affected by seasonal factors. As a result, net operating income increased 8% quarter-on-quarter. Loan loss provision plummeted, 5.5%, with growth base fall across regions and most markets. Digital Consumer Bank also recorded sharp falls.  Finally, underlying profit, you see the €2 billion, notably higher than in the previous quarters.  A focus more in the NII. I should say that while NII grew 5%, it's a result of higher volumes, plus 2% in loans, plus 8% deposits; cost of deposit management that I mentioned before; positive impact from the TLTRO and what is one of the highest figures in the last couple of quarters. Moreover, it's worth recalling that the first quarter is always -- has always some seasonality compared with the Q4.  As for year-on-year performance by country, I should remark the good performance in the U.K., plus 24%, and on the back of higher customer variances, the positive repricing actions that offset -- were partially offset by lower asset yields. Spain, plus 10%, driven by higher volumes and TLTRO. Brazil, plus 6% due to rated volumes that offset lower interest rates. The U.S. remained flat despite interest rate cuts. And on the other hand, Mexico fell 6% due to lower interest rates and lower portfolio volumes, impacted by the pandemic and having a relatively cautious approach to carrying risk.  When we go to net fee income, well, continue to be affected, particularly on the households, by the lockdowns in most countries and seasonality as of the year in Brazil. Despite this environment, the upturn in net fee income quarter-after-quarter from the loss of Q2 2020 allow us to recover Q1 '20 prepandemic levels. And from here, we expect to start to grow if the pandemia behaves as we are expecting on the back of better activity on the consumer household side of the business. Our strategy has remained focused on growing loyal customers and higher value-added services and products. These were reflected in a positive performance in CIB, Insurance, Wealth Management and other business. In total, they account for 50% of the group's total fee income.  Cash and traditional fees were dampened by the pandemic, and the U.K. reflected the impact from the regulatory changes to overdraft since April 2020. By region, North America grew 7%, with the prices in -- both in U.S. and Mexico. South America, 2%, with growth recorded in Chile and Argentina, while Brazil start to recover. And Europe, minus 4% with generalized declines, except Poland, due to lower activity on the household side that I've been commenting across the presentation.  On the cost side, well, very positive performance. So we see Europe, the cost falling 4%. And North America had -- they grow 2.8%. Inflation, as you know, in Mexico is relatively high. And South America is performing similarly well when you see in real terms. Efficiency improved a lot at the group level, now stays at 45% -- slightly below 45%. And I want to remark productivity gain -- significant productivity gains in Europe, where cost/income ratio stays now at 50% when last year, this period, we were close to 60%. We are building a new operating model across the group that will enable us to accelerate our transformation and further increasing productivity and remain one of the most efficient global banks in the world.  Going to credit quality. So we have here the NPL is basically flat. Improved cost of credit to 108 basis points, driven by lower loan loss provisions in most countries, particularly in the U.S., Brazil, the U.K. and also in Spain. Looking at the 3-month annualized provision, the cost of credit in the quarter was 84 basis points, that what in the first Q of 2020 was under the double or almost doubled due to the provision overlay we took at this time. Loan loss reserves stood at €24 billion, while nonperforming loans coverage of 74%. As I said, the overlay still in the balance sheet that we did last year is mainly in the balance sheet.  In summary, amid persistent uncertainties, especially in Europe, we see areas that are performing better than expected, such as the U.S. Looking forward, we also expect an improvement in individuals. We are seeing consistent trends on individuals, household credit quality, and we are somewhat more prudent about corporates, particularly SMEs, that is going to depend very much on the recovery of the economy that we expect to start in second, third and fourth, second and third mainly, quarters of this year. All this enabled the group cost upgrade to perform better than expected.  And well, this is more moving towards our average cost across the cycle. While this strong operating performance translating to ratio of the return on equities in the return on tangible equity in the quarter, 13%, EPS growing nicely and tangible net asset value, it also reflect before they translate the good results, the good consistent, I will say, sustainable results towards the ratios, the main financial ratios.  On capital, I already commented on the strong organic generation, 28 basis points in the quarter due to the net effect of the 43 basis points increase from profit and risk-weighted asset management and the negative impact from the shareholder remuneration of 15 basis points. This positive performance was offset by regulatory impact, 6 basis points is the IFRS 9 phaseout and markets impact on the AFS portfolio. And full year '21 expected restructuring charges of 10 basis points that we bring forward to the first quarter.  So now we hand it to the CFO, José García Cantera, he's going to elaborate about the different areas of the group.
Jose Garcia-Cantera: Thank you, José Antonio, and good morning, everyone. I'll start by [Technical Difficulty] our global scale, our customer focus and our diversification really helped once again with our business and profit growth in the quarter. In Europe, we are executing our business transformation to accelerate growth through a more efficient operating model that should allow us to progress towards our medium-term return on tangible equity target of 10% to 12%. In the first quarter, it was 8%. Loans grew 2% and customers 7%, with positive trends since the beginning of the year in all markets. Revenue growth was 13% versus the first quarter of last year with strong cost control and efficiency improvements. In addition, we had lower cost of risk at 51 basis points in the quarter. In North America, a sharp increase in deposits in both the U.S. and Mexico, while loans fell due to the negative economic impact from the pandemic and more importantly, from the disposals of Puerto Rico and Bluestem. Attributable profit was up strongly year-on-year driven by good net operating income and lower provisions in the U.S. Return on tangible equity was 12 -- sorry, 14%, 22% if we adjust for the excess capital in the U.S.  In South America, double-digit growth in both loans and deposits. Net operating income and profits were up driven by strong revenue growth and lower loan loss provisions in most markets. Return on tangible equity rose to 19%. Our Digital Consumer Bank had a 12% return on tangible equity, and we saw a significant pickup in activity in March. So in summary, we've delivered robust performance in all regions in the quarter with a strong business generation, positive trends in all lines of the P&L.  Moving to the countries, starting with Spain. Our strategy remains focused on One Santander, where customer migration is advising -- advancing according to plan. In activity, we saw positive commercial trends in individuals, notably in residential mortgages that were up 17% year-on-year and Consumer Finance. However, loans fell slightly in the quarter, mainly driven by wholesale banking, in line with global corporate deleveraging. On a year-on-year basis, growth was 3% due to SMEs and corporates. Customer funds were 10% higher year-on-year. And of note here, mutual funds that were up 23%. In terms of results, underlying profit amounted to €243 million, almost 3x higher than last year. We had resilient total income growing 10% in NII, although this was negatively affected by lower fee income and reduced -- from reduced economic activity from the pandemic. Quarter-on-quarter, NII was negatively affected by lower day count, lower ALCO portfolio and reduced volumes. We continued with the transformation of our distribution model, which enabled us to grow the net operating income 9%. Loan loss provisions, down 29% and cost of risk improving relative to the previous quarter. Going forward and despite the uncertainty that still remains in the quarter, we expect NII growing at mid-single digits and the cost of risk below 2020, while operating costs should perform as expected.  In the U.K., we had a very positive quarter based on volume growth, lower cost of deposits and efficiency improvements. In volumes, continued year-on-year growth in lending, driven by mortgages and SMEs. And customer funds were also up, boosted by retail banking deposits and mutual funds. Profits were 6% higher year-on-year. Here, total income increased 12%. Of note was again, net interest income, up 24%, mainly from deposit repricing actions as well as higher customer balances, especially in mortgages. Fee income was lower due to regulatory charges affecting overdrafts. Cost decrease, reflecting progress on our transformation program and cost of credit was 21 basis points in the quarter.  In 2021, we expect to be -- to grow net interest income close to double digits, benefiting from new business pricing dynamics and lower funding costs. The 1|2|3 account latest changes introduced in April will drive additional improvements in our Q2 NII. We remain confident on being able to reduce the cost base by mid-single digits in 2021, and we are not seeing any signs of asset quality deterioration in the U.K.  If we move to Brazil, which had an excellent performance at the beginning of the year, both in terms of volumes and results, we saw commercial activity recovering pre-COVID levels. And we took advantage of that, increasing our market share in lending. We hit the highest number of mortgage sales in the first quarter. And in auto, we remain the leader in individuals and we increased our current account customer base. All the above was reflected in greater volumes. Loans grew 13% year-on-year, mainly in individuals and government-backed SMEs, while customer funds rose 12%. In terms of results, profit was up 47% year-on-year, and return on tangible equity increased to 21%.  Total income was backed by very strong NII and higher gains on financial transactions. We had higher productivity and a strong expense management, which enabled cost to drop 3% in real terms and reach record efficiency levels. Loan loss provisions decreased strongly with a very positive cost of credit performance, which fell to 3.8%, if we look at 12 months, 3.3% in the first quarter. Yes, compared to the fourth quarter, profits up 3%. Again, driven by strong NII and cost reduction, which offset lower fee income, which is affected by insurance seasonality. If we look at 2021, we expect loans to grow faster than the market, while customer revenue should increase moderately and cost maintain a good trend. And we would expect the cost of risk to be lower than last year and in no scenario higher than 4%.  Moving to the U.S., where we believe that the work that we have conducted over the last few years is shown in these numbers. So beyond the improved macro conditions that obviously is helping, we believe that the work again that we've done the last few years is helping our performance in the U.S. Volumes was impacted by the divestiture of Bluestem and Puerto Rico that I referred to before. Excluding these perimeter changes, loans were up 1% year-on-year with auto originations increasing 24%. Also, deposits continue to perform very strongly. We had very good and positive P&L performance with underlying profit of €616 million, the highest of any country in the first quarter. Net operating income increased 13% off the back of strong NII from strong lease income, capital markets fee income and expense management. Excluding the disposals impact, net operating income was up 19%. On top of that, loan loss provisions decreased 81%.  We've made significant regulatory progress as the Fed terminated its 2017 written agreement with SCUSA and we also see upgraded Santander Bank's Community Reinvestment Act rating to outstanding. In Private Banking, BSI announced a transaction to acquire $4.3 billion in customer assets and liabilities from Crédit Agricole, improving our competitive position in this highly profitable market. For 2021, we would expect these trends to continue all throughout the P&L and maintain a positive performance in asset quality.  We move to Mexico. We continue to invest in digital channels, and that is strengthening our value proposition with new products and services. Year-on-year, volume performance reflects the normalization of the corporate portfolio following the uptick at the beginning of the pandemic. Profit was down year-on-year, impacted by NII pressure due to lower rates and volumes. Total income was down, again, NII was pressured. But this was more than offset by -- which more than compensated fee income and gains on financial transactions.  Costs were slightly up due to higher technology investments, but in real terms, costs were down 3%. Loan loss provisions dropped 7% despite some charges regarding -- recorded for certain customer -- corporate customers. When we look at 2021, we would expect to see flattish NII, while net fee income is expected to grow, supported by credit cards, insurance, funds and investment banking. Cost of credit should start to improve in the coming quarters with nonperforming loans around 3% by year-end.  Moving to our Digital Consumer Bank. Remember that we created this as the leading digital consumer finance bank in Europe, combining the scale and leadership of Santander Consumer Finance and Openbank's digital capabilities. As a result of the health crisis, new lending fell 3% year-on-year, especially in January and February. But as I said before, we saw a strong recovery in the month of March. In results, underlying profit was €291 million, 25% higher year-on-year. Total income increased slightly compared to 2020. NII was down mainly due to lower outstanding balances in Spain and interest rate limitations in Poland, which were offset by higher income from operational leasing activity following the acquisition of Sixt Leasing Germany in 2020. Cost increased 1%, mainly due to digital investments in technology in Openbank. Excluding this -- the acquisition of Sixt in Germany, costs fell 4% year-on-year. We had a strong reduction in loan loss provisions with quite strong quality -- credit quality performance. Cost of risk was 0.69% in the quarter. For the coming quarters, we expect a strong cyclical growth in Consumer Finance after 1 year of the pandemic, with a gradual recovery of volumes and a solid credit quality across the European customer footprint.  Moving quickly to the global businesses. SIB, Santander Consumer -- sorry, Corporate and Investment Bank, delivered a very excellent quarter. We are -- we held leading positions in the rankings of Structured Finance, DCM and ECM. Outstanding results in the quarter, which did a record high. Revenue was up 44% year-on-year driven by customer-related activities. Cost, 8% higher, but the efficiency ratio improved to an outstanding 31.8%. Although this quarter results are unlikely to be repeated in the coming quarters, we expect a positive performance for 2021.  The Wealth Asset Management and Insurance business continued to perform well in the quarter. Total assets under management amounted to €370 billion to higher -- to 12% higher year-on-year. For Insurance, fee income rose 5%. Total fee income generated accounted for 31% of the group's total and grew 3% year-on-year. Looking ahead, we expect continued growth in line with volumes in this business.  This is the first quarter in which we report PagoNxt. So I'm going to stop here for maybe a bit longer than for the other countries. Payments, as you know, are the cornerstone of our strategy to grow and reinforce our customer loyalty. Customer -- Santander serves more customers than any other bank, over almost 150 million, including 4 million SMEs, of which more than 200,000 are international customers in Europe and Latin America.  PagoNxt comprises 3 different businesses. First, Merchant Solutions. Getnet is already one of the top 3 acquirers in Latin America. As you know, it started in Brazil. That is a highly competitive market, but the business is growing. We are taking advantage of that, gaining market share, reaching 15% in December 2020 from 11.5% in 2019. In the first quarter, we launched Getnet Chile, providing differential features in the local market and generating strong demand. Getnet in Latin America already operates in Brazil, Chile, Mexico and Argentina, has 1.1 million active merchants.  And this figure is growing 14% year-on-year. Total payment volume was €22.5 billion in the first quarter, up 26% year-on-year. And we would expect to achieve 20% to 30% growth in the medium term for these 2 metrics. This year is an investment year for the company. We will generate -- start generating revenues in Europe in the second half of the year. To this end, obviously we will rely on the newly acquired technology assets of Wirecard that have been purchased at a good price, and we are unlocking their value quickly.  The second component of PagoNxt is Trade Solutions. As I said, we have 207,000 clients with international activities in the last 12 months. Let me focus on the 2 most representative businesses here. The first is One Trade, which is our global trade and international payments platform. It already connects our customers in Brazil, Spain, U.K., Chile, Portugal and Colombia. And we have over 4,000 active customers. We expect to double the transaction volume yearly going forward here. Ebury, which has a presence in 20 countries, offers financial solutions to simplify international trade. It has already 15,000 customers, active clients. And we would expect its revenues to grow 30% to 40% a year in the medium term.  And the third component of PagoNxt is Consumer Solutions. Here, Superdigital, our platform to address the financial needs of the underbanked population, is being rolled out across 7 countries in Latin America. This provides obviously huge growth opportunities for us, and we believe we can double business year-on-year. To this sense, Superdigital in Brazil already have almost 600,000 active customers with the transaction volume growing 30% year-on-year.  And now let me finish with the Corporate Centre, where we see results improved 49% year-on-year, mainly due to the positive impact of income tax from the release carried out this year and the charges recorded in the first quarter 2020 and the positive trend in operating expenses, which improved 7% compared to the first quarter of last year driven by ongoing streamlining and simplification measures. On the other hand, net interest income was impacted by the increase in the liquidity buffer. We have lower trading gains because of the positive hedging results recorded last year, and we had higher provisions. The net loan loss provision line includes a charge of €150 million gross, €105 million net, which has not been allocated to any specific portfolio so far and was built due to the lack of visibility as to the timing pace and strength of the economic recovery.  And with this, I'll turn it over to José Antonio. Thank you.
Jose Antonio Alvarez: Thank you, José. I'm going to elaborate. Just -- give me just 1 minute. On the back of the first quarter results, I should say that while the results were solid, consistent and sustainable, revenue grew 8%, we improved the efficiency. And as a result of this, I already said that net operating income grew nicely. So we continue to build on our customer base, digital customers keep growing, the loyalty to our customers keep growing. And our customer satisfaction, we are top 3 in the -- in 6 markets in which we operate. We already recorded the restructuring charge for the whole year and continue to focus on cost control and improving our efficiency ratio. We also improved the cost of credit and -- with an underlying profit of €2.1 billion. The core equity Tier 1 ratio is above our target and the underlying return on equity rebound to 13% in the quarter.  Let me take a look forward for 2021. And I should say that we are increasingly constructive. Taking a look to the business environment, we expect activity to increase as vaccination progresses, although at different speeds depending on the vaccination progress in different countries. Amid some remaining uncertainty, we see lower cost of credit with a better performance in individuals than in corporate. We believe that the demand for individuals and consumption we will rebound, especially in countries with a faster vaccination rate. This will allow higher fee income generation as activity increases.  Regarding the outlook for the main regions. In Europe, we expect high single-digit underlying return on tangible equity on the back of a strong household activity rebound, margin management, net fee income recovery and savings plan execution. North America, underlying profit trend should be better than initially expected in the U.S., as shown with Q1 excellent results. The auto business is well positioned to benefit from strong demand for bankers leveraging our deposit franchise in the U.S. South America, amid the challenging environment, which should deliver continued growth in Brazil with an underlying return on tangible equity projected around 20%. Retail Consumer Bank, we expect -- we have already seen some recovery of volumes toward normalization and solid credit quality as seen in the U.S., potential growth in retail banking across Europe with operation in Spain, Portugal, Netherlands and Germany through the Openbank. Expect double-digit return on tangible equity in 2021 as seen in Q1.  As we progress through the year, we are more confident that we will deliver on our medium-term goals, and we remain very constructive on our targets for 2021, improve the efficiency ratio, reduce the cost of credit and increase -- significant increase of our profitability. Thank you very much. And now we will remain at your disposal for the questions you may have.
Sergio Gamez: Thank you, José Antonio. Thank you, José. Indeed, time now to come to the Q&A session. So please, operator, we can proceed with the first question.
Operator: [Operator Instructions]. And we already have a couple of questions. The first one coming from Alvaro Serrano, representing Morgan Stanley.
Alvaro Serrano: Two questions for me. One -- the first one is on growth. Look, it's clear that provisions, on the whole, are much better. But beyond that, it does look like the market -- I mean, the market -- the multiple suggests that the market is not buying the growth outlook. And my question is on that, what do you think is missing from consensus numbers? Because beyond the currency, if I look at your medium-term target, it does look like Europe is the biggest disconnect.  And if I think about the Digital Consumer Bank, you obviously would end the year -- with the full year results, you were looking for -- to double profits medium term. If I look at the cost-income ratio, that's more than €1 billion delta in revenues and your European operation is also delta there. What's consensus not grasping there? Is there -- are you that optimistic that you can grow consumer business there? Is it purely Openbank? Are you going to do add-on acquisitions that we do not fully appreciate? And maybe a comment in growth generally and in particular, with the European skew.  And the second question is on capital. You're 11.9% fully loaded, it looks like the capital build is going to be better for the remainder of the year. Would you consider buying back last year's script as a way to maybe sort of gain back some of the institutional investors that were disappointed last year?
Jose Antonio Alvarez: Thank for your questions. Growth, very general question. So you note that our business, many areas and dimensions in the medium, long term is supposed to grow because we have the business that we have, and we are in the geographies we have with plenty of growth in front of us. This is by geographies in Latin America. This year, probably, the visibility on this is poor. Yes, the massive depreciation of the currencies in 2020 naturally affects the translation of the growth we have had. You see the numbers in Brazil, you see the numbers in Mexico, and then you see the numbers in Chile, we are growing nicely, even in the middle of the pandemia. Deterioration into euros was not so good.  In the consumer side that -- where we do think that we can grow, naturally, with the lockdowns, we are not growing. What we have seen already in March and April, this are rebound on these activities, and we expect -- provided the vaccination goes as expected, we expect to start to show significant growth. We can capture growth on the Digital Consumer Bank. On the auto space, where we are market leader, we were not working in the leasing space. We then start to grow there. And the Digital Consumer Bank offer us opportunities in the nonauto-related consumer space that we are starting to take. So those are -- on top of this, you have PagoNxt. José already elaborate on the growth prospects of PagoNxt that we expect to capture in the coming years.  So this is -- with continued remarks, our growth outlook, it's naturally difficult to talk about growth in the middle of an economic meltdown due to the pandemia. But you see our results, the main difference, I should say, compared with what I've seen in the market is that we are growing revenues and controlling costs. And the main difference is our operating income is growing 15%. Our -- the P&L is not made out of the reduction in provisions. Naturally, we have reduction in provisions, but we have top line growth that we expect this to rebound from now onwards due to the improvement in the economic activity.  The capital, second question, you said a specific question. We accrue, as you said, in the quarter, our intention is to accrue 40% of the underlying profit to remunerate the shareholders. It can be dividend, it can be buybacks, okay? So this depends. It's up to the Board to take the appropriate decision if we are allowed to do so, naturally, by the regulator. But our intention is to continue with this accrual because we think that this is sustainable. And that's our intention.
Operator: The next question is coming from the line of Francisco Riquel representing Alantra.
Francisco Riquel: Yes, I wanted to ask about Spain and first, on the top line. NII falls 4.5% quarter-on-quarter beyond the 2% of that of the day count. So I wonder if you can update on your guidance. It seems to me that the mid-single-digit growth might be a bit challenging. So you can update on the trends in the quarter and the drivers for the coming quarters. And also, in Spain, on the cost of risk, it remains high for another quarter, which makes sense because obviously the Spanish macro is underperforming other geographies. But so you can update on how do you see the credit cycle in Spain. And your cost of risk, when do you see then the normalization and at what levels?
Jose Antonio Alvarez: Okay. Thank you, Francisco. First question about NII -- well, revenue, in general, in Spain, particularly on NII. Well, our guidance remains the same. So we expect to grow NII during the year around mid-single digit. In the quarter, you mentioned already the day count and was some reduction in volumes and those 2 affected this. But for the whole year, we remain confident that we reach the mid -- the kind of mid-single-digit growth in NII. And naturally, in fee income, we expect to make significant progress, starting probably -- well, starting in the second quarter and progressing along the third and fourth quarter of the year. So we remain constructive on our outlook for our revenues in Spain.  In the cost of risk that is your second question on the credit cycle, this is a very interesting question. As I mentioned in the presentation, we are constructive on the credit quality on the households, individuals consumer space where we are seeing good trends. The moratoria is expired and we are seeing good tenders, and we remain confident on this side of the business. While in SMEs, particularly in those economies that are not performing not so well on that due to the relative specialization of these economies, we don't have -- simply, we don't have enough visibility at this point. There are several factors. Some of them seasonal. The tourist season this year is going to -- how it's going to be, the decision, strong uncertainty in relation with this and when the business is going to come back to normal.  The second question is the credit cycle, probably is the right question when we're going to have visibility on this? Probably, if you ask me, as of today, I should say to you that we need at least, I don't know, 2 quarters of normalization before we have a clear visibility of the damage of the pandemia in the SME space, probably is -- well, it's my guess or is the best guess I have. So a couple of quarters to see this. But make sure that we keep updating you. Now visibility is relatively poor because, well, there is a significant number of customers affected by the lockdowns in the SME space, micro business and self-employed people. Although as you know, we have a large portfolio protected by state warranty schemes. This affects mainly in our portfolio in Spain, Portugal somehow, but the largest portfolio is Spain.
Operator: It is coming from Ignacio Ulargui, representing Exane BNP Paribas.
Ignacio Ulargui: I just have two questions. One on cost performance. How do you expect the €1 billion savings to perform now that you have separated the Digital Consumer Bank? And when should we start to see the benefits of all the restructuring charges in Spain, particularly in the U.K.?  And second one is on cost of risk in the U.S. I mean we have a very good performance of second-hand indexes that makes a lot of good performance of provisions. But I mean what would be the normalized level of provisions that you will expect out of the U.S. going forward?
Jose Antonio Alvarez: Okay. Thank you, Ignacio. Thank you for the questions. The whole issue of cost performance, the €1 billion commitment in Europe, and the restructuring charge. I mentioned the restructuring charge. We took all the restructuring charges expected in -- for Spain last year. I think it was the fourth quarter, José? It was the fourth quarter last year. In this quarter, we are taking the one we expect for the U.K. Portugal, I think a small part like €20 million for Digital Consumer Bank and like €50 million for the Corporate Centre. On the back of this, we expect Spain to be -- the cost decreasing high single digit, U.K. mid-single digits, and the same can be applied Portugal and less so in Poland.  And the Consumer Bank is a different story because it's a growth, as I mentioned before, the question of Alvaro, it's a growth story. And we're going to have the 2 dimensions. One dimension in which we reorganized our business in Europe. And remember that we have 15 banking licenses that we're going to reuse to -- we're going to transform into branches and this allow us to reduce cost. On the other side, we want to grow the retail bank and the nonauto-related business to grow faster than with the buy-now-pay-later kind of new activities and with the leasing in the auto activities.  And we're going to have two dimension. On one side, we're going to say costs due to a reorganization. On the other side, we're going to increase the business, and we're going to grow the business in this dimension. So the €1 billion will come mainly -- in the proportions of the cost we have, the majority will come from Spain, U.K. and -- 2/3, and the other 30% comes from the overall -- all other units.  The second question was the cost of risk in the U.S., the normalized level. I should say, we have 2 effects in the U.S. One is the cost of risk that naturally goes to the loan loss provision. Remember that we are not releasing provision in U.S. We are still providing for the business. But it's true that the cost of risk is significantly lower on the back of the fiscal stimulus that provide support to households, individuals along the U.S. And on top of that, we have, what you already rightly mentioned, the used car prices that support. We have a leasing -- leases and we have residual value. And when we dispose the cars once the leases expire, we are making some gains out of this business. So the 2 go in the same direction.  So having said that, and -- we expect the cost of risk, the first part, on the back of the fiscal stimulus to remain well below the traditional standards. While the leases, the used car, for the time being, much more difficult to forecast. It's probably relatively easy to forecast one quarter but much more difficult to forecast the longer term. But it's true that we are pricing the leases in a conservative way to try to protect when the downturn of the used car prices happen, that for sure is going to happen. So those are the 2 engines. But for this year, the business continued to show, for the whole year, I expect -- I think we expect very good trends in the business.
Operator: It is coming from Daragh Quinn, representing KBW.
Daragh Quinn: I'd like to go back or stick with the provision charge in the U.S., please, and specifically the consumer business. And a loan loss charge of just 300 basis points this quarter versus a historical number of closer to 10%. Clearly, we've seen over the last few quarters that, that number has come down. But I just kind of wonder, apart from this year and maybe the shorter-term impacts of the stimulus, what do you think is an appropriate medium-term outlook for the provision charge in the U.S. consumer business? That would be my first question.  And the second question on Brazil and cost growth. I think historically, your guidance there has been to grow costs below inflation. In the first quarter, we've actually seen a nominal reduction in costs. Is that just going to specific trends in this quarter? Or is it a reflection of a greater focus on cost control in Brazil?  I'm sorry, if I may, just a final question on capital. Small amount of regulatory charges this quarter. Maybe if you could just remind us of what we could expect on that front for the rest of the year.
Jose Antonio Alvarez: Thank you, Daragh, for the questions. I pass to José, to the CFO, the question in relation with the capital. The provisioning charge in the U.S., as you rightly said, is low for the -- this quarter in the area of 300 basis points. We've been more on the high single digit. But this largely depends also on the mix. As you know that -- well, depends on what we retain on the -- back on the balance sheet. Normally, we dispose a significant chunk of the prime business that we originate. Some of this goes to the market, we securitize, we dispose. Some of this goes to SG&A, to our commercial bank that use the deposits to fund its business. And the -- what remains in the balance sheet, the mix is very important. But provide that we have the same mix that in the past that was in the region of, if I remember well, I'm not sure, we have like €20 billion of subprime and another €20 billion of between near-prime and prime, the cost of risk should be in the region of 7, 8.  The region has been and makes sense that -- I don't know when, probably not this year, maybe next year, I don't know, difficult to forecast this with the economy of the U.S. is -- well, is deemed to perform very well on the back of the infrastructure investment program, the fiscal stimulus, is very difficult to say when this is going to back to normal, provide that we keep the same mix. That's extremely important, Daragh, because the difference in cost of risk between the 2 business is very, very large.  The second question, if I remember, were Brazil costs, yes? The general cost in Brazil. So in Brazil, productivity is improving dramatically. Our digital sales are performing extremely, extremely well. And on the back of this, we are able to increase significantly the productivity. And you've seen, we are keeping -- it's not the same transformation that the one we are doing in Europe. It's not about closing branches. It's --n and all these things. It's -- as a matter of fact, we are still opening some branches in areas in which we don't have presence. It's true that we also closed some branches in area that are more crowded. But in general, it's more internal organization of the business and the capacity to increase digital sales and remote sales, remote sales from specialized call centers that we incorporate in the last -- 6 months ago, a new contact center in the south of the country that is far cheaper than in Sao Paulo for having this business and is performing extremely well.  And we're optimistic that we can continue to design new ways to reach customers in a market that offers good opportunities to grow, and we are capturing some of them. You see that we are reducing costs, at the same time, gaining significant share in the most interesting products in the country. It's not Brazil. It's not -- I mean, it's not going to be a cost story. It's going to be a growth -- a revenue growth story more than a cost story. Having said that, we want to increase our productivity. In March, for example, we sold 630,000 cars in this month with the economy and in the middle of a lockdown, and we're going to be focusing on continuing to grow in the country, naturally, with good cost control.  Now I'll hand it back to José.
Jose Garcia-Cantera: Yes. We expected regulatory charges in capital. The sum of some small charges could be between 5 to 10. Then, there are -- the 2 largest charges that we would expect this year come from the low default portfolios, which is coming in the second quarter, and that will be around 8 basis points. And then, the new definition of default, which is uncertain when will have to be taken and the amount that, that will represent. But we believe it will be, in any case, less than 10 basis points. So more or less, we would expect to see 25 to 30 basis points of charges from regulation in the three quarters this year.
Operator: [Operator Instructions]. And the next question is coming from Carlos Catena representing Societe Generale.
Carlos Catena: Two quick ones and then just a clarification. First one on the U.K. I was expecting probably a better performance in net interest income, maybe same as the performance in Spain as in probably on the low end of expectations and in particular, where the business dynamics in terms of volumes on front book spreads are more encouraging. Could you elaborate a little bit on why the net interest income declined in the quarter? I understand it is a calendar effect, but are there other drivers that you could elaborate there?  Second question on legacy assets in Spain. It's not you only. I think the whole sector is providing only for the pandemic cost already with no much attention on legacy assets, and you still carry a high stock of nonperforming assets in Spain. I'd like you to elaborate a little bit on how do you think about that portfolio. How do you plan to divest it and if that will demand a top-up in coverage to accelerate the exit from this portfolio?  Also, not quite in Spain, if you could discuss how much of -- well Spain and this is for the whole group, how much of the restructure loans and payment holidays do you keep as performing in your Stage 3 -- sorry, in your Stage 1 portfolio? Because this is just a focus of the sector in general. I mean if you maintain the bulk of the potential problematic exposures as performing, obviously the modeling and the provisioning models will demand lower provisions. But when shall we have a clearer view on how much NPL formation you provided for to compare with how much potential deterioration could be coming out of this? I know it's a complex question, but if you could elaborate a little bit on how much of the payment holidays is still is on the performing Stage 1 portfolio, that would be very helpful.
Jose Antonio Alvarez: Okay. Thank you, Carlos, for the questions. The first point was U.K. NII. I think José already elaborated on this. So we expect still the NIM to accelerate a bit in the second quarter as a result -- on the back of further cost -- deposit cost reduction and with having good activity on the volume side in mortgages, make us positive from this. And for the whole year, we should be north of 10% in NII growth in U.K. regard you -- whole, I think, last quarter in this direction, and we remain confident that this is going to be the case.  You elaborate -- you made the question about NII that was also raised by Francisco before. You try to understand the first Q. The first Q, as Francisco said, was 2% -- mainly 2% of the drop is day count and another -- and you see the loan book fell like 2% in the quarter and those are the -- on top of having less activity. Yes, the activity -- the new activity in -- the activity in the quarter with the lockdown was somehow reduced. And this activity, partially, the fee income generated at the beginning of the origination goes to NII and those are the factors from this.  When you refer to legacy assets, well, our provisioning policy -- well, we've been, I will say, in the quarter conservative. Provisioning policy in Spain, the provision remains pretty high. The cost of risk, if I remember well, is close to 100 basis points. Remember that before the pandemia, we were at 30 basis points, 35. Now, we are 100. We are taking another provision for financial reasons due to the uncertainty and poor visibility on the Corporate Centre. So we -- I think that we are providing -- we are being prudent in our provisioning in the P&L for the potential events that will come, including the legacy asset, naturally, that we take into account in our provisioning policy naturally. It's not only about the scenarios. It's also about what we have in the balance sheet and in the situation in which they are.  Restructuring loans, you referred to payment holidays. I don't know if I understood you well. The question, when a customer ask for a payment holiday for moratoria remains in Stage 1, naturally. So for the time in which the company or the majority individual sustained moratoria, 1. Once the moratoria expires, some of these moratoria were government -- were mandatory-ed by the government, particularly this happened in Portugal, U.K. and half in Spain. In Spain, half was granted by the bank, half was mandatory-ed by the government. The majority of these moratoria expire. When the moratoria expire, if the customer start to pay again normally, remains in Stage 1, naturally. If the customer ask for another extension that maybe in some cases not, but we start to classify accordingly, and if the customer doesn't pay, goes to Stage 3, not -- as you know that this is not as stable as before.  And this is what -- how do we are classifying. That's the reason why you are seeing, progressively since the pandemic started, you have seen Stage 2, particularly Stage 2 -- as the Stage 2 growing accordingly with the behavior of these payment holidays. Having said that, while we -- the majority of the moratoria already expired, you have the numbers in the presentation. What remains in moratoria is basically the ones who were mandatory in Portugal that expire, I think, I'm speaking by memory -- from memory is in September, and the ones in Spain that are expiring around now because it was -- were granted 1 year ago in April, May, June and in the second quarter, will expire the majority. And we'll classify accordingly with the payment behavior shown by the customer. So I hope I answered your question.
Operator: The next one is coming from Fernando Gil de Santivañes representing Barclays.
Fernando Gil de Santivanes: Just two questions, please. Elaborating a little bit more on the NII in Spain and Europe. I just want to refresh the contribution from the TLTRO programs. And how do you see the evolution during the year? This would be the first question. Related to that, especially in Spain and the U.K., I just would like to know a comment on the changes in management that we have seen so far and the strategy in the new -- with the new management teams. I guess it's not cost-related. It should be more revenue-related. But just want to know if there's any strategic change in those areas, in those regions. And finally, on the restructuring charges, you mentioned that we're done for 2021. I just want to know if there could be some moving on into 2022, given these recent changes in these specific regions that we mentioned.
Jose Antonio Alvarez: Okay. Thank you, Fernando, for the questions. Starting from the very last one. We do not expect on the back of the cost, the One Europe program, additional restructuring charge is done for the €1 billion cost savings that we announced, I don't know, when was in October. That's all. This is related with the changes in management and the strategy that you mentioned before. While -- when we announced One Europe, One Europe is a -- on the back of One Santander is the intention to become more integrated in order to gain significant efficiencies, operating together.  So that means that in several products, you've seen the new flow of -- you follow this, the new flow in the organization in Europe is becoming an organization where the products are -- some products, not all the products, some products have -- there are people, executives that have European responsibility, mortgages and cars and in some other areas. And there are also the developments in the transformation and the digitalization that are in Europe. The new app is going to be the same in 1 year for all the group in Europe. And this is -- those are the -- this transformation program, having a new head of Europe make advisable to do the change that we announced today in order to create the organization that fit for purpose in this regard. We have both Nathan, as the CEO of U.K., and Rami -- as we announced this morning, they remain in the group in different roles, but this is to accommodate the European organization's transformation program that we announced, and we are progressing well on this.  And NII in Spain, I said mid-single digits. Well, also, in U.K., double digit or a little bit weaker in Portugal. And well, I don't have a specific guidance for Poland. Probably, you have José, and the TLTRO programs, you can elaborate on this, yes?
Jose Garcia-Cantera: Yes. No. The year-on-year increase in revenue from the TLTRO is going to be '21 over '20, it is €300 million to €350 million.
Operator: The next question is coming from Sofie Peterzens representing JPMorgan.
Sofie Peterzens: Here is Sofie from JPMorgan. Just a follow-up on the previous question. Unfortunately, I couldn't hear what the TLTRO benefit is. So if you could just repeat that. And then, I got a first question would be, last week, there were some headlines around Santander potentially looking at lease plan. Could you just discuss kind of what your view is on M&A and disposals? And has anything changed here? And how should we think about any potential strategic M&A? If you could just remind us what your sort of -- what your key ambitions here are. And then my second question would be, if you could just talk a little bit about Brazil. What's your outlook in terms of rate hikes in Brazil? Where do you expect interest rates to go in Brazil? And how -- if you could also remind us of your rate sensitivity in Brazil and kind of how do you think about NII progression in Brazil?
Jose Antonio Alvarez: Thank you for your questions. The question on TLTRO, José?
Jose Garcia-Cantera: Yes. So it's, as I said, '21 over '20, €300 million to €350 million increase.
Jose Antonio Alvarez: M&A activity -- strategic M&A activity, well, we have nothing to add, yes? So we are not -- we are focused 100% in organic growth. We are not looking at any kind of deal that can leading us to take. But at least, naturally, we made the offer, the tender offer in Mexico, but those are small, nothing that change the profile of the book.  Brazil. So it's true that the rates -- the markets effect that the rates keep flowing up. They already raised the rates by 75 basis points. The market is more to come, and I agree that it's more to come on the back of relatively high inflation. And this affected the business in a way that -- do you have the figures, José, how much sensitivity to higher rates in Brazil?
Jose Garcia-Cantera: Brazil is very much balanced. So it's slightly negative. 100 basis points parallel shift in the interest rate curve is less than €100 million. So it's very much balanced. For the group as a whole, again, a parallel shift upwards of 100 basis points is a positive €1.75 billion.
Operator: The next question is coming from Adrian Cighi representing Credit Suisse.
Adrian Cighi: Two questions for me. One on capital and one on asset quality. On capital, and specifically on capital requirements, how do you see the impact of the upcoming stress test on Santander? You previously mentioned that you expect the stresses to be harsher than previous ones. But do you have any visibility at this stage on the contours of the outcome? And then on asset quality, can you give us maybe the moving parts of the overlay provisions you've made last year? And how much of these provisions remain unutilized?
Jose Antonio Alvarez: So the first question, capital stress test. We are, in the terms of size risk, it is too early to provide you with any numbers. We send the first numbers. We, as you know, we tend to perform very well on the stress test on the back of our diversification, yes? So knowing that the scenario is harsh, but well, I remain confident that we're going to continue to perform very well on the stress test. But it's too early to call, yes? So the discussion with the regulator's about to start, and we will see the different interpretation they have in relation with our numbers.  The second, asset quality. The overlay, I said in the presentation that we valued the overlay, I think, on the €1.6 billion, probably we use €100 million, maybe?
Jose Garcia-Cantera: €150 million.
Jose Antonio Alvarez: €150 million, he's telling me. So the majority remain on the books. And well, I gave you already my outlook for the credit quality. The majority of this is related with consumer, and consumer is evolving very well. And -- well, we'll see. This is too early to call, significant uncertainties remain, and we prepare to be prudent at this stage. And remaining will be capacity to offset potential future losses just in case something goes wrong with the vaccination and the recovery that everybody expects, including ourselves. But the situation invite you to be prudent, yes?
Operator: The next question is coming from Jernej Omahen representing Goldman Sachs.
Jernej Omahen: I'd like to ask a couple of questions, and they're all related to the capital return prospects. So the first question, you gave us an update at the end of the fourth quarter on your interaction with the SSM on the dividends and the prospect of restrictions being lifted. I guess we are 3 months closer now to the 30th of September. And I was just wondering if there's anything more that you can share or perhaps give us insight to as to the discussion with the relevant authorities on this topic? Are we any -- do you feel more, less confident? Or is the situation exactly the same as it was at the end of the year?  And the second question I would like to ask is when you think about risk-weighted asset growth for this year and then perhaps further out, what kind of number do you think is realistic for the group.
Jose Antonio Alvarez: The capital return, if we have additional information than the one we shared with you at the end of the last year, in reality, we haven't got any additional information other than the one that was made public at some point, but the interpretation of the market to SSM was more constructive. And they are pointing towards the provisioning levels vis-a-vis of the potential -- the uncertainty surrounding the economic activity that's -- well, what we have is one quarter of more visibility. As I said in the presentation, I'm more constructive on the consumer individual side, but I remain with significant uncertainties on the SMEs and corporate books. And for that reason, I think I repeat couple of times, we keep providing and not releasing provisions in the quarter, yes? So that's what I can share with you in this regard.  In relation with the risk-weighted asset growth, I do not expect a lot of growth on the back of -- the market remains in very good shape to release capital through securitization. And the increased cost of equity at which you can release capital lease up to today is well below the cost of capital, at least this is clear on the more granular type of portfolio. If that remains, our risk-weighted asset growth is going to be somehow limited, probably José can give you a number, on the back of being pretty active in securitizations as we've been doing in the last, I don't know, couple of quarters. And we always look at the market in this direction. If we can release capital significantly below the cost of capital, we do. And the market now is in good shape for the reason, I do not expect significant growth in risk-weighted assets.  José, do you want to say something?
Jose Garcia-Cantera: Well, this year, like José Antonio is saying, we don't see risk-weighted asset growth. And we are working to compensate the regulatory charges that we discussed earlier on. Looking forward, we think we can -- over the long term, we can have risk -- obviously, this is excluding regulatory changes, we think we could sustain more or less a 3%, 4% risk-weighted asset growth over time.
Sergio Gamez: I'm afraid we are running out of time, but we have time for one last question, please. So let's proceed with the last question.
Operator: All right. It is coming from Ignacio Cerezo. Ignacio is representing UBS.
Ignacio Olmos: Most of the questions have been answered, but I have 2 on capital left. If you have any view or color on the impact of the U.S. fiscal reform, I'm thinking of DTAs in the country, if any.  And then the second one, I've seen a higher charge nontrading impairment in Poland, which I think is related to the FX mortgages. How much more is coming Do you think actually throughout the year on that one?
Jose Antonio Alvarez: To tell about the fiscal reform, you can do the math. So the main information is the rate, the final rate. And naturally, this is -- increase is going to have an impact, not very significant. I don't have a specific number because I don't have which rate I think we should expect. I don't know if this is already normal or -- no, people tell that this number is unknown.  And the CapEx charge in Poland, you were right. It will rise due to the Swiss francs. Our provisions there staying around €200 million. So -- well, as you know, this is subject to the Supreme Court ruling -- decision that is going to come, if I am well-informed, next month. That has been delayed already twice and is expected to come in 15 days, José?
Jose Garcia-Cantera: 15th of May.
Jose Antonio Alvarez: Yes, 15th of May is expected and well, the provisions you mentioned were -- may come on the back of this.
Sergio Gamez: Okay. We need to end it here, everyone. So thanks very much for attending this call. Obviously, the entire IR team is at your new disposal for any follow-up. So thanks, keep safe.
Jose Antonio Alvarez: Thank you, guys. Take care. Bye.
Jose Garcia-Cantera: Take care.